Operator: Good morning. Welcome to the CEMEX Fourth Quarter 2013 Conference Call and Video Webcast. My name is Lorraine, and I will be your operator for today. [Operator Instructions] Our hosts for today are Fernando González, Executive Vice President of Finance and Administration; and Maher Al-Haffar, Vice President of Corporate Communications, Public Affairs and Investor Relations. And now I will turn the conference over to your host, Fernando González. Please proceed.
Fernando A. González: Thank you, operator. Good day to everyone, and thank you for joining us for our fourth quarter 2013 conference call and video webcast. After Maher and I discuss the results of the quarter, we will be happy to take your questions. During 2013, we continued to deliver. The performance of our regions during the year exceeded our expectations, with the exception of Mexico. For the full year, operating EBITDA grew by 4% on a like-to-like basis to $2.64 billion, after adjusting for onetime effects. Improvement in pricing and volume in most of our regions, the favorable operating leverage affecting the U.S., as well as our continued initiatives to improve our operating efficiency, led to the third consecutive year of EBITDA growth. Operating EBITDA margin on a comparable basis expanded by 0.3 percentage points. During the fourth quarter, our operating EBITDA increased by 6% on a like-to-like basis compared with the same period last year. Consolidated cement, ready-mix and aggregates volumes increased by 4%, 2% and 3%, respectively, during the quarter. All of our regions enjoyed higher cement and aggregate volumes, with the exception of Mexico, where cement volumes were flat. For the full year, aggregates volumes increased by 2% while ready-mix volumes remained flat. Cement volumes declined by 1% in the same period, mainly due to the weakness we experienced in Mexico. During the year, we achieved record-high cement volumes in Colombia, Panama, Nicaragua and the Philippines, and record ready-mix volumes in Israel and Colombia. Our consolidated prices in local currency terms for ready-mix and aggregates increased by 4% and 3%, respectively. While cement prices remained flat during the quarter, quarterly cement prices are up in most of our major countries, with the exception of Mexico and the U.K. We continue with the implementation of our value-before-volume strategy in all of our regions, focusing our efforts on achieving sustainable margins and returns in all of our business lines. In cement, during 2013, we implemented gross minus logic, price roadmaps and other pricing elements in countries that represent more than 80% of our volumes. In ready-mix, last year, we launched initiatives company-wide to promote the debundling of ready-mix prices into their different value elements. As part of these initiatives, our first and most important objective is to recover full freight cost in all of our markets. In our aggregate business, implementation in our major markets is in progress. Our target is to improve our aggregates prices so as to recover the replenishment of depleted reserves at market value. We will continue to improve the transparency on the value we provide to our customers through our products and services by revisiting our surcharges and service fees in each market. Operating efficiencies were driven by, first, we achieved the targeted $100 million in savings in Mexico and Northern Europe during the second half of 2013. These savings included headcount reduction, capacity rationalization, freight optimization and cost management, among others. Second, our substitution rate for alternatives reached 28% during 2013, 1 percentage point higher than in the previous year. Geographic mix had an important role in dampening this increase, as some European countries with higher substitution rates have grown less than our consolidated portfolio. However, year-over-year substitution rates in most countries in our portfolio continue to increase. And third, we made significant progress in our program to outsource different activities to IBM. During 2014, we expect to realize all implementation phases that will allow us to be more efficient and serve our customers with greater speed and quality. Furthermore, we expect to generate $1 billion in savings over the life of the agreement. In addition to improving our operating efficiencies, we have also focused our efforts on optimizing our portfolio. As part of these efforts, in August, we announced 3 transactions in the Czech Republic, Germany and Spain, which are expected to enhance our return on capital over time. These transactions are still subject to approvals from competition authorities. In addition, during the year, we sold non-operating assets for $170 million. On the financing side, during 2013, we raised $3.1 billion at an average cost of 6.4%. We improved our debt maturity profile and strengthened our capital structure. Maher will provide more details on this topic later in the call. We are pleased with the way our credit continues to re-rate, and we continue to be vigilant and prepare for windows of opportunity to reduce interest expense at the margin. And now I would like to discuss the most important developments in our markets. In Mexico, demand conditions improved during the fourth quarter. On a sequential basis, daily cement and ready-mix volumes increased by 8% and 9%, respectively, driven by the acceleration of infrastructure spending. During the full year 2013, cement and ready-mix volumes declined by 8% and 6%, respectively. These declines were mainly the result of lower activity in the infrastructure and formal residential sectors. On a sector-by-sector basis, we saw the industrial and commercial sector growing in the low-single digits during 2013. The improved performance of this sector was driven in part by more dynamic manufacturing activity, especially during the second half of the year, in line with the recovery in the United States. For 2014, we expect this sector to continue its positive trend, with growth in the low-single digits. Activity in the informal residential sector, which was affected during most of 2013 by economic headwinds, picked up during the fourth quarter, in line with improved economic activity. Remittances from the U.S. to Mexico, an important driver for this sector, have increased on a year-over-year basis for 4 out of the 5 last months since August, after more than 1 year of declines. For this year, we expect that demand from the informal residential sector should continue growing in the low-single digits. On the formal residential sector, activity during 2013 was affected by a delay in the granting of subsidies at the beginning of the year, continued financing constraints for both homebuilders and buyers, as well as high inventories. Having said this, housing starts and housing registries grew sequentially from July to November, with the exception of September, due to the hurricanes, and ended the year on a positive note, exhibiting both sequential and year-over-year growth during the month of December. The prospects for the residential sector for this year are somewhat more favorable with a doubling of the amount of housing subsidies available last year, more clarity regarding the new housing program and fiscal reform, which caused uncertainty last year, and higher participation of medium and small homebuilders. As a result, we expect the formal residential sector to have a low-single-digit decline this year. Infrastructure spending accelerated during the second half of the year. Investment by the Department of Communications and Transportation during 2013 increased by 12%. The approved 2014 budget for this department is 46% higher than last year's, and includes higher allocations for railroad and highway construction. We expect a double-digit increase in our cement volumes for this sector, driven by the increase in resources, reconstruction efforts and the general reactivation of the economy. Pricing dynamics last year were challenging in light of the weak demand environment. In mid-December, we announced an 8% increase for bagged cement in most regions in the country, and an 8% increase in ready-mix. For bulk cement, we announced a 9% price increase beginning the 1st of January, also in most regions. We continue to focus on higher value-added products and services, and emphasize our customer loyalty programs through our dedicated distribution channels. We will continue to be vigilant about the pricing environment and look for opportunities to recover our input cost inflation in our core products. In addition, during 2013, we continued with our efforts to reduce cost and improve efficiencies. In summary, we feel that recent positive trends in indicators across the different demand segments lead us to be optimistic about this year. Our cement volumes for 2013 -- '14 should grow in the mid-single digits driven by a higher emphasis on infrastructure spending, a continued positive industrial and commercial sector, and a growing self-construction sector. For 2015 and beyond, the recently approved energy reforms should translate into higher infrastructure spending and leading into higher demand for our specialty higher value-added products. In 2013, the United States produced the highest incremental EBITDA of any region. This EBITDA increase was fueled by steady volume growth, healthy pricing gains and favorable operating leverage. The performance during 2013 provides convincing evidence that the turnaround in the U.S. is sustainable over the medium term. We are pleased with the results and look forward to a better contribution from the U.S. during 2014. During the quarter, on a year-over-year basis, our cement and ready-mix and aggregates volumes increased by 9%, 2% and 1%, respectively. On a pro forma basis, adjusting for the transfer of our ready-mix assets in the Carolinas into the newly established joint venture with Concrete Supply, ready-mix volumes grew by 8%. We experienced healthy volume growth in spite of poor weather conditions in many of our markets during the quarter. Volume growth was driven by the residential and industrial and commercial sectors. Housing permits in our 4 key states, Texas, Florida, California and Arizona, were up 24% in 2013 compared with a 17% increase at the national level. Florida and California lead the way with growth rates in excess of 30%. Construction spending for industrial and commercial rose 10% in 2013. Industrial and commercial demand in our key states continues to outperform national levels. While national contract awards are up 12% in real terms, contract awards for our key states are up 31% for 2013. While total public infrastructure spending remained weak during the quarter, we did see some recovery in highway and bridge investment. Despite a 5% drop in infrastructure spending during 2013, highway and bridge spending for this period rose by 1% relative to the prior year. We attribute the improvement to greater highway funding visibility on the part of state and municipal governments. Importantly, during 2013, contract awards for highway and bridge work are up 18% in real terms. This is the highest growth rate in these contract awards that we have seen over a decade. This improvement is largely due to the approval of 9 TIFIA-funded projects with a total project cost of $13 billion. With improved state finances and reduced risk of federal highway funding disruptions and the TIFIA funding program beginning to take hold, we believe cement volumes for highways and bridges should increase in the low-single-digit range during 2014. Regarding pricing, our value-before-volume initiative continued to pay off during 2013. Prices for cement to external customers, ready-mix and aggregates, are up 4%, 6% and 5%, respectively, versus the prior year. In the case of ready-mix, fees and surcharges account for close to 1/3 of the pricing improvement. We entered 2014 even more committed to our goal of eliminating the chronic underpricing of our products over the last decade and seeking a fair return on the capital employed in this business. We have already announced 2 rounds of cement price increases for the year, as well as various ready-mix and aggregates increases. While the majority of the first round cement price increases take effect in April, January price increases in Colorado and Florida have achieved favorable traction. Increased sales, volumes and successful price increases, bolstered by cost containment and energy mix optimization initiatives, contributed significantly to our favorable operational leverage during the quarter. Our alternative fuel utilization during 2013 reached 25%, 2 percentage points higher than in the prior year. Our confidence regarding the sustainability and pace of the U.S. recovery continues to grow as we enter 2014. We expect high-single-digit volume growth in cement and ready-mix and mid-single-digit growth in aggregates during the year. This forecast reflects a continued recovery in the residential sector, a vibrant industrial and commercial sector, as well as a better demand from infrastructure. In our Northern Europe region, the economic turnaround we saw during 2013 resulted in growth in regional volumes during the second half of the year. For the full year, cement volumes grew in all countries in the region, aside from Poland. In our ready-mix operations, we also saw volume growth during the third and fourth quarters. Volumes for the full year increased in the U.K., Latvia, Hungary and Austria. Both regional cement and ready-mix prices increased by 2% during the fourth quarter in local currency terms. Cement prices in those countries grew in this period, with the exception of the U.K. Operating EBITDA and EBITDA margin for the full year 2013 were essentially flat, adjusting for the favorable effect during the first quarter of 2012 of a change in the pension plan in the region. We continue to roll out our value-before-volume strategy in the region, adapting our cement production to customer needs. And in the case of Poland, we continued to manage our capacity with actions, including kiln stoppages and cost optimization. In Germany, our ready-mix operations were EBITDA positive for the first time since 2006. The residential sector was the main driver of demand for our products during 2013. Residential permits increased by 11% during the third quarter and by 5% during the month of October. Low mortgage rates and low unemployment continue to drive residential construction. Growth in wages and net immigration into the country also contributed to housing demand. For 2014, we expect this sector to continue its positive trend, with volumes growing in the mid-single digits. We expect the industrial and commercial sectors to also exceed mid-single-digit growth during this year as the economy continues to improve. The infrastructure sector remained stable during 2013, and a slight growth is expected during this year, driven by transportation infrastructure projects. In Poland, our focus on more profitable volumes as part of our value-before-volume strategy affected our quarterly cement volume performance. We remain fully committed to this strategy. During 2013, the decline in the infrastructure sector was a result of a high base of activity in the previous year, a decline in EU funds for capital investment in the public sector, financial difficulties of some construction companies and the delay of some projects. After 2 years of decline, this sector should grow in the mid- to high-single digits this year. Activity in the residential sector was affected by lower average wages resulting from the economic slowdown. This year, the residential sector should be relatively stable. The industrial and commercial sectors should also show stability, driven by business process outsourcing projects. In France, ready-mix volumes increased by 2% during the last quarter. Pre-electoral spending during 2013 in anticipation of municipal elections has been limited, as local administrations have been impacted by financing constraints and the government strategies to reduce deficit. Infrastructure activity for this year will continue to be supported by highway and high-speed railway projects that started during 2012 and will last several years. Regarding the residential sector, housing starts declined by about 5% in the last 12 months as of November, reflecting tight credit availability and the less attractive buy-to-let program introduced at the beginning of 2013. A slight decline in housing starts is also expected for this year. In the United Kingdom, cement and ready-mix volumes continued their positive performance during the fourth quarter. During 2013, the residential sector was positively impacted by the Help to Buy programs. This sector should continue to be the main driver for our products during this year. The infrastructure sector should also grow this year in anticipation of the 2015 elections, and driven by road and rail projects. In the Mediterranean region, during the quarter, we saw growth in cement volumes in Egypt and the Emirates, which more than offset the decline in Spain and Croatia. For the full year, we had positive cement volumes in Egypt and the Emirates and positive ready-mix volumes in Israel, Croatia and the Emirates. We continue to modulate capacity in the region based on customer demand in support of our value-before-volume strategy. In Egypt, our domestic gray cement volumes during the fourth quarter and full year increased by 7%. Energy and electricity disruptions continued during the quarter. On the energy side, the government has delayed its decision to authorize the utilization of other fuels such as pet coke and coal. In addition, the gradual elimination of subsidies on energy will continue. Our alternative fuel strategy continued to allow us to operate regularly during the quarter. On the electricity side, we have been managing our production capacity to reduce utilization during peak hours. Our cement prices in Egypt increased by 1% on a sequential basis and by 18% on a year-over-year basis. The price increase during the year offset the increase in fuel costs resulting from the partial elimination of energy subsidies. Prices should continue to reflect the increase in energy prices going forward. The main driver of cement consumption in the country remains the informal sector. During the quarter, we also saw a slight reactivation in the formal residential sector. Infrastructure activity continued to be low. Going forward, we expect some downward pressure on our volumes, reflecting the increased cement production capacity in the country. We will continue to focus on our value-before-volume strategy and on the marketing of our value-added branded bagged cement, which, last year, represented more than 1/2 of our sales. In Israel, we saw double-digit growth in ready-mix volumes and EBITDA during the quarter and the full year. During the quarter, ready-mix volumes increased by 13% while pricing increased by 2%. For the full year, ready-mix volumes increased by 12%, with the pricing up 3%. Operating EBITDA grew by 24% during 2013, on the back of a 21% increase in sales. In Spain, demand for our products during the quarter continued to be affected by low activity in all sectors. In contrast, both cement and ready-mix prices during the quarter were up 6% in local currency terms on a year-over-year basis. Infrastructure activity during 2013 remained at very low levels, reflecting continued fiscal austerity measures. Decline in activity in this sector is expected to continue this year. In the residential sector, the market is gradually absorbing home inventories. The recent stabilization of home prices should help further decrease these inventories, although credit availability continues to be limited. For this year, our volumes in the residential sector should stabilize or even improve slightly. In our South, Central America and the Caribbean region, operating EBITDA margin expansion during the quarter and the full year 2013 mainly reflect our continuing initiatives to improve our efficiency, as well as higher volumes in our 3 core products. In our operations in Colombia, we are encouraged with the strong volume growth during the quarter. We continue to see a strong level of construction activity. Our new 450,000-tonne cement grinding mill started operations in October, improving our footprint in one of the most dynamic regions in the country. During 2013, the residential sector was the main driver for demand of our products in the country, primarily supported by the construction of the 100,000 government-sponsored free home program. We expect this sector to grow in the mid-single digits during 2014, driven by 2 additional housing initiatives, which include subsidies on mortgage rates on an additional 130,000 homes. In the infrastructure sector, we continue to see activity driven by the continuation of highway projects. For this year, we expect an acceleration of current projects with potentially higher levels of investment by local governments. The industrial and commercial sector maintained its favorable trends, supported by the positive economic outlook, higher investor confidence and the new trade agreements signed by Colombia. We expect this sector to grow in the high-single digits during 2014. In Panama, our cement volumes during 2013 increased by 3%. The residential sector continues to be an important driver of demand. Housing construction, particularly in the middle-income segment, has been posting strong growth rates. We expect this favorable performance in the residential sector to continue during 2014, although at a more moderate rate. In terms of infrastructure, demand for our products during 2013 was supported by several ongoing projects, such as the canal expansion and the Cinta Costera. In addition, the Corredor Norte highway has also started construction. Infrastructure spending going forward should continue to be supported by these and new projects like the third bridge over the canal and the expansion of the Inter-American Highway, which could start construction works in the short term. The decline in our cement volumes for Panama anticipated for this year reflects the expected completion of the canal expansion. Excluding volumes related to this project, our cement volume estimates for this year are slightly higher than last year's volumes. In addition, cement prices to the canal expansion are lower than our average. So as this project phases out, weighted average prices should go up. In Asia, we had significant operating EBITDA margin expansion during the fourth quarter and full year, driven by strong prices and higher volumes. In the Philippines, despite the typhoon which hit the country during the month of November, our cement volumes grew during the quarter. Volumes for 2013 were driven by the residential and, to a lesser extent, the infrastructure and industrial and commercial sectors. Prices were stable sequentially and increased by 5% during 2013 in local currency terms. During 2014, the residential sector will continue to benefit from stable inflation, low mortgage rates and strong remittances. Infrastructure spending will remain healthy with projects still in the pipeline and reconstruction efforts. To satisfy the fast-growing market in the country, our new grinding capacity in the Philippines of 1.5 million tonnes per year is expected to be operational during the second quarter of this year. In summary, we are pleased with the growth in volumes in most of our regions and the initial outcome of our value-before-volume strategy. In addition, we continue to see the positive operating leverage effects in the United States. We are pleased with the growth in consolidated EBITDA in 2013 despite the slowdown in Mexico. And now I will turn the call over to Maher to discuss our financials. Maher?
Maher Al-Haffar: Thank you, Fernando. Hello, everyone. Our operating EBITDA increased by 6% during the quarter on a like-to-like basis, while EBITDA margin remained stable. Operating EBITDA for the full year increased by 4% on a like-to-like basis and adjusting for one-off items. Operating EBITDA margin, also on a comparable basis, increased by 0.3 percentage points. This margin expansion was driven by higher prices in most of our regions, our cost reduction efforts, as well as the continued favorable operating leverage in the United States. Cost of sales plus operating expenses as a percentage of net sales decreased by 1.8 percentage points during the quarter and by 1.3 percentage points during the full year versus the same period last year. The decline includes a reduction in workforce and other cost-reduction initiatives. Our kiln fuel and electricity bill on a per-tonne-of-cement-produced basis increased by 1% during both the fourth quarter and full year 2013 versus the comparable periods in 2012. We continue to increase the use of alternative fuels during 2013. As we have stated in the past, substituting primary fossil fuels with alternative fuels has several advantages. First, they are cheaper. During 2013, we achieved savings of about $135 million by using alternative fuels instead of fossil fuels. This is about 23% of total cement fuel bill in the same period. Second, when using alternative fuels with biomass content, a portion of the CO2 emissions are considered carbon-neutral, reducing the number of emission allowances utilized by some operations. And third, alternative fuels are generally quoted and purchased in local currencies, reducing the volatility of our margins resulting from exchange rate fluctuation. During the quarter, our free cash flow after maintenance CapEx was $216 million compared with $228 million in the same period in 2012. During the quarter, we had higher maintenance CapEx and other expenses mitigated by higher EBITDA, as well as lower financial expenses and cash taxes. Due to the seasonality of our business and our continued efforts to lower investment in working capital, about 60% of the year-to-date investment in working capital as of September was reversed during the fourth quarter. For 2013, working capital days declined to 28 days from 30 days in 2012. During 2013, reported cash taxes were $118 million higher than in 2012. Most of this increase is due to the higher scheduled and paid consolidated taxes during the year. In the fourth quarter, in the income statement, other expenses net of $147 million include mainly impairment of fixed assets, severance payments and a loss on the sale of fixed assets. During the quarter, we recognized a gain on financial instruments of $48 million, related mainly to CEMEX shares. For the full year, we narrowed our controlling interest net loss to $843 million from $913 million in 2012. During the quarter, net loss was reduced by almost half from that of 2012. This is primarily due to operating earnings before other expenses, a gain on financial instruments, lower other expenses and income taxes, which more than offset higher financial expenses and an FX loss. During October, we issued $1 billion in senior secured notes due in 2021, and $500 million in floating rate senior secured notes maturing in 2018. These 2 transactions had an average yield of 6.5%. We used the proceeds to pay the remaining $825 million of our 9.5% 2016 notes, as well as EUR 220 million of our 9 5/8% 2017 senior secured notes, both with significantly higher coupons than the new debt issued. In addition, a cash reserve was created to pay our 2014 eurobonds at maturity. Total debt plus perpetual securities increased by $340 million during the quarter. The increase in debt reflects the created cash reserve for $286 million, a negative conversion effect of $39 million, as well as the noncash increase in the debt portion of our convertible securities. Free cash flow generated during the quarter was used mainly to pay the premium on the repurchased 2016 and 2017 notes, coupon payments under our perpetual bonds and other corporate purposes. In addition, there was a reduction in the utilization of our securitization program during the quarter. We're including a pro forma maturity profile, which shows the utilization of the created cash reserve to pay our 2014 eurobonds. Pro forma average life of debt is currently at 4.6 years. In addition, assuming our 2015 convertibles convert, CEMEX will not have any significant maturity until September of 2015. Liability management exercises done during 2013 are expected to represent annual cash interest savings of approximately $55 million. We continue to be comfortable with our liquidity position, with cash and cash equivalents reaching $877 million as of the end of the quarter, excluding the reserve for 2014 notes. Furthermore, we maintained over $2 billion of working capital and receivables financing facilities, which further bolster our liquidity position. We continue with our liability management initiatives to lower our interest expense, lengthen the average life of our debt and reduce refinancing risk. Now Fernando will discuss our outlook for this year. Fernando?
Fernando A. González: Thank you, Maher. For 2014, we expect our consolidated cement, ready-mix and aggregates volumes to grow in the mid-single digits, as detailed in our per-country guidance. We expect most of our major countries to exhibit volume growth during the year. Regarding our cost of energy on a per-tonne-of-cement-produced basis, we expect it to be relatively flat from last year's levels. Guidance for total CapEx for 2014 is expected to be about $645 million. This includes $505 million in maintenance CapEx and $140 million in strategic CapEx. Regarding working capital, we expect the working capital investment during this year to be similar to last year's. We expect cash taxes for 2014 to reach about $600 million to $700 million. As a result of our liability management initiatives during 2013, we anticipate a marginal reduction in this year's cost of debt, including our perpetual and convertible securities from 2013 levels. In closing, I want to emphasize 3 points. First, pricing trends continue to be favorable. Consolidated prices for our 3 main products in local currency terms increased within 2013 on a year-over-year basis. Prices as of December 2013 were higher in most countries compared with the previous year. Second, this is our third consecutive year of EBITDA growth. The EBITDA growth and EBITDA margin expansion during 2013 on a comparable basis reflect an improvement in our pricing and the success of our continued cost initiatives. And third, we remain focused on value creation, proactively improving our operating performance by focusing on pricing, value-added products and services, maintaining our cost discipline and outsourcing support activities while, at the same time, we continue to look for ways to optimize our portfolio. Thanks for your attention.
Maher Al-Haffar: Before we go into our Q&A session, as usual, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and, of course, could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to our prices and our products. And now we will be happy to take your questions. Operator?
Operator: [Operator Instructions] And our first question comes from Carlos Peyrelongue from Bank of America.
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: Two questions, if I may, first one related to prices. If you could provide some color on the Mexican market. Prices decreased 3% quarter-over-quarter on the fourth quarter. Can you comment on your strategy going forward and also something related to what occurred during the fourth quarter for this decrease in prices. And then the second part would be to the U.S. Prices have been improving. You, I believe, mentioned that you have announced price increases. Can you comment on the size of those price increases in the U.S.?
Fernando A. González: Yes. Well, I can start with the first question, Carlos. In the Mexican market, during 2013, the price environment was quite challenging. So we lost some prices during the year. Now what is it that we are doing? After looking at the last quarter behavior on volumes in Mexico, we decided to announce a price increase, valid starting January 1, of about -- I think it's about 8%. So -- and as far as I know, as far as it goes, it seems to be -- to have traction. So again, last year, it was a weak environment for pricing. And last quarter, because of what we saw in volumes, to some extent the acceleration of certain sectors, we decided to increase prices starting January 1. You want take the second one?
Maher Al-Haffar: Yes, sure. Yes. Carlos, thank you for the question. In the U.S., as you know, we have announced last year 2 pricing increases for this year. The early year pricing increase is phased in over 2 periods, January and April. In January, prices were increased in Colorado and Florida. These are the 2 markets that have exhibited some of the biggest growth in our portfolio. Colorado saw an $8 per metric ton pricing increase in January, Florida is $11 per metric ton in January. We have gotten very good traction on those pricing increases, and we hope that situation will continue for the year. In -- for the spring prices, we've announced a $16.50 pricing increase per metric ton for April for northern California, and for Southern California, where the markets are a little bit weaker, we announced an $11 per metric ton for April. And we're getting also some very good response in those markets. In Texas, we've announced an $11 per metric ton in April. And also there, we're getting -- as you know, that market is sold out and is quite tight, and we're getting very good traction there. On ready-mix prices, those will be increasing locally as contracts expire during the course of the year. I don't know if that's -- and we're very optimistic with the traction that we're seeing for both the January and the April pricing increases.
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: Okay. That's very promising, great. Very clear. And the last question is related to taxes and to changes on fiscal consolidation. Am I reading it correctly that the total impact you're estimating from these changes in Mexico is an impact on increasing deferred taxes of $709 million? Is that correct?
Fernando A. González: $700 million and what?
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: $709 million.
Fernando A. González: Okay. Well, as you know, the -- last year, we had the tax reform in Mexico. And we were still having the impact of the reform done in 2010. And in this new 2014 reform, most of the impact is coming from a type of a retroactive taxation of intercompany dividends. So the amounts that -- the impact, the amount itself it's -- let's say, the adjustments done during 2013 because of the reforms done in Mexico was about $200 million and something. I don't remember the exact amount. But it's around $220 million or so. And the adjustments expected for 2014, and this is according to the guidance we are providing, is around $320 million. So that's, again, because of adjustments of -- due to the tax reform done last year. So that's, more or less, the impact that we will have in 2014. So net-net, the increase compared to 2013 is about $100 million and -- because of the adjustments in Mexican laws and regulations. And then there are some other increases because -- as you can imagine, it's because we do expect income growth during 2014. An additional comment I was going to make is that we shouldn't -- we don't have a reason to think that we should expect any other additional increase to the numbers we're providing for 2014. I'm referring now specifically to adjustments because of Mexico's reforms.
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: Fernando, on Page 17 of the report, you provide a lot of visibility into your payment of deferred taxes related to consolidation. And in that page, there is 1 item called effects of tax deconsolidation, an increase of $709 million is the that one I was referring to. And therefore, if we compare this total number that you now have in deferred taxes to be paid of $1.9 billion versus the previous quarter, where you had close to $1.2 billion, so the total increase for the next 5 years is $700 million. Is that correct? I understand that, for 2014, its only $128 million, but the total amount increase that you show on Page 17 versus the previous quarter is about $700 million. Is that correct? Or am I doing something wrong?
Fernando A. González: No, no, no. You are reading right. That is correct, and I was referring to the specific impact in 2014 only.
Operator: And our next question comes from Vanessa Quiroga from Crédit Suisse.
Vanessa Quiroga - Crédit Suisse AG, Research Division: My question is regarding the Mexico margins, a follow-up on that. So are there any other initiatives besides price increases that could drive margins higher for your Mexico operation in the -- in 2014 and onwards? And the other question is about the taxes. Is there any measure that you could implement to reveal the tax burden going forward on CEMEX? And if you could give any color -- on the retail side you chose not to adhere to the new integration readings [ph] .
Fernando A. González: Okay. Well, on the first part, Vanessa, we always have efforts to continue increasing our productivity and efficiency, and Mexico this year won't be an exception. We don't have the specific value to share. But efforts on additional -- increasing efficiencies and productivity will continue happening. Now as I think we have already commented, main reason why margins in Mexico were affected is the challenging environment in prices. Now regarding taxes, Vanessa, we continue analyzing all options available, and this is no different to what we normally do. We try to understand and to develop the most efficient tax scheme for the company. And as you may know, the reform is done but there might be still additional changes, let's say, miscellaneous or other directives that we need to be prepared and we need to understand and to act accordingly. I don't have any specific measure right now to describe, rather than saying we continue analyzing it. We look forward to have the most tax efficient scheme for the company and we will use all resources.
Vanessa Quiroga - Crédit Suisse AG, Research Division: Okay. Fernando, just to be more specific about the Mexico comment regarding initiatives, are there specific measures that you're applying in 2014 that can make us expect margin increases? Or are you referring to your sustained efforts to increase efficiencies?
Fernando A. González: The -- as commented, I don't have right now, but I will double check. But part of the savings we did in -- or all of the savings we did in '13 will happen, of course, in '14. They were not a onetime thing. Plus, we do expect additional savings, but I don't have any specific amount to share today. But I will come back to you, Vanessa, if I find that information is material.
Operator: And our next question comes from Benjamin Theurer from Barclays.
Benjamin M. Theurer - Barclays Capital, Research Division: I have 2 questions, one related to South, Central America. On Panama and the news on the, well, suspension of the current work at the canal expansion. Do you see -- what kind of impact do you see there just because of the overrun on the budget here? So what's the impact there? And what could we expect to see here in terms of that? Despite your expectations, volumes are down already for this year. And then the second one, if we go to the European region here, especially on the projection with Holcim and then obviously, on your guidance, what you have for Germany and Poland, does the guidance include what is expected to hopefully improve from the transaction with Holcim? Or is that pending the approval? And then obviously, the synergies you might get there?
Fernando A. González: Okay. Well, in the case of Panama, if I understood correctly, there is this issue between authorities in Panama and the construction company. We are not involved in that issue, and we're not affected because of their issue. We provided the materials. It's almost done, and we are not exposed. And again, there is no information we can provide because we are not part of it and we don't have any inside information on the process. But we don't expect ourselves to be affected because of this specific issue. Now in the case of the potential transaction with Holcim assets in Europe, we are moving forward in the legal process, and we are in collaboration, together with Holcim, with all the requirements done by authorities in order for them to give their recommendation on this transaction, which we currently expect to happen by midyear. So midyear, June, July, we will know the final determination from the European or the different authorities in Europe involved in this transaction. And you were also asking if the guidance includes any benefit of this transaction. It is not included. So once we proceed with the transaction according to the final recommendation from authorities, we will get back to specific benefits of this transaction. But so far, it's not included.
Operator: And now we have a question from the webcast.
Maher Al-Haffar: The question from the webcast is from Michael Plancy [ph] from ING. And the question is why did margins decline so much in Northern Europe and the Mediterranean regions?
Fernando A. González: You want to take that?
Maher Al-Haffar: Sure. Yes, Michael, just very quickly on the Mediterranean. The big reason really is -- I'm sorry, not the Mediterranean, the Northern European, the big reason is the adjustment that we had in 2012 for the pension fund in the U.K., which was approximately $70 million. If you adjust for that, then EBITDA, instead of the reported minus 18%, would be minus 1% and the margin would be essentially flat instead of being slightly -- 1.7 percentage points tighter. On the Mediterranean, it's primarily driven by the CO2 sales that we had in 2002 that are much higher than what we did in 2013. If we adjust for that, for the full year, then the EBITDA would be actually positive 9% and the margin would actually be higher by about 1 percentage point. For the quarter, the difference is even more material. The EBITDA on an adjusted basis instead of being minus 5% would be plus 28%. And the margin instead of being lower by close to 3.5 percentage points would be up by slightly more than 2 percentage points, about 2.3 percentage points higher. I hope that addresses your question.
Operator: And our next question comes from Gordon Lee from BTG.
Gordon Lee - Banco BTG Pactual S.A., Research Division: Two quick questions, both on the balance sheet, actually. The first is on the converts, I'm curious, maybe you could describe the mechanics through which you determine what portion of their face value should be debt and what portion should be equity. My assumption would have been that as the stock rises and, therefore, the probability to convert it increases, that you would probably think of it more as equity than debt. But looking at the balance sheet, it would seem like the opposite has happened. So I was wondering why that is the case. And then second, I was wondering if you could just walk us through quickly what you did with the cap calls as far as what impact that will have -- when you will actually get delivery of those 7.7 million CPOs and how that runs through the income statement, that would be great.
Fernando A. González: Okay. If I may start with the second question, Gordon. On the cap calls, I'm referring to the cap calls that are due in 2015, March 2015. What we did, and the transaction is already done, it's finished, is that we exchanged the call we made, I think it was in 2010, for a lower-risk security after monetizing the call. We just finished the transaction this week, and we were very fortunate because we did the transaction in a couple of weeks with reasonable values on our ADRs. And we ended up having, let's say, new calls for 7.7 million ADRs at 0 strength[ph] . So what we have now is this specific 7.7 million ADRs or calls-induced ADRs. And of course, we are exposed to the value of the share. Now why is it that we did it? Well, simple, it's a call, it's too much '15 -- sorry, '14, and we thought that we -- it was advisable and prudent to exercise and to monetize this call during this period of time.
Maher Al-Haffar: And I think there was -- so the first part, Gordon, on the convertibles, the split is actually determined at the issuance of the bonds and does not change as the stock changes -- as the stock price variation takes place over time. So I hope that addresses your question as well.
Gordon Lee - Banco BTG Pactual S.A., Research Division: I was asking whether that split changes over time because in your -- in the press release you say one of the reasons why debt actually increased during the quarter was because of that portion allocated from the convertibles to debt. So will that continue to increase over time?
Maher Al-Haffar: Let me just -- coupons, you know what, let me get back to you on that, okay? I'd like to -- I would like to research it, and we'll get back to you.
Gordon Lee - Banco BTG Pactual S.A., Research Division: Perfect. That's great. And if I could just have one final quick follow-up, which is on the operational side. This is just out of curiosity. Obviously, given what's been happening in Puerto Rico, which has been widely covered in the press, could you tell us more or less what percentage of your South, Central American and Caribbean EBITDA comes from Puerto Rico?
Fernando A. González: It's not relevant.
Maher Al-Haffar: I mean -- just give us a second to take a look at it. Or what we'll do is that, maybe we'll get back to you on that. It's a fairly small amount, Gordon.
Operator: And our next question comes from Yassine Touahri from Exane.
Yassine Touahri - Exane BNP Paribas, Research Division: I got 2 questions. My first question would be on the U.S. The increase in sales is approximately equivalent to the increase in EBITDA. It's been quite impressive. Flow-through from sales to EBITDA is nearly 100%[ph] . Would you expect this to continue in 2014? And I'd just like also to understand what's driving this. Is it because you increased prices -- because you have price increases that are higher than cost inflation? Or is this because of your local input [ph]? That will be my first question.
Maher Al-Haffar: Yes. Would you like me to take that?
Fernando A. González: Yes. Go ahead.
Maher Al-Haffar: Yes. Yassine, that's a very good question. I mean, I think the incremental sales for the quarter were $63 million and the incremental increase in EBITDA was about $64 million, which will give you slightly higher than 100% operating leverage, broadly defined. The reality is that we've over-accrued in the beginning of the year for some compensation. And if you adjust for that over-accrual, we are probably in line with the annual level of operating leverage, which is about 80%. And most of that is, obviously, driven by the success in our pricing and in our volumes and, of course, the operating leverage that is pent up in the business, the capacity utilization operating leverage. And certainly, looking into 2014, we're expecting not a major change from that type of operating leverage.
Yassine Touahri - Exane BNP Paribas, Research Division: And my second question would be on Mexico. I know some of the volumes are a little bit better. Could you give us a feeling about the early 2014? What have you seen in January? And I just wanted to make sure that I understood correctly the price increase that you have announced in bulk and bagged cement. You had 8% and 9%?
Fernando A. González: Yes. It is right on the amount of price increases for cement, bagged and bulk. And in the case of volumes, what we can comment, January is 1 month, so it might not be that representative of what is happening, but it's also good news. But in the case of infrastructure, which if you remember is about close to 25% of our volume, and we do expect that to increase 10% during the year. And the reason why is because we saw, during the last quarter, an improvement in infrastructure compared to the third quarter. If you remember, last year, we were startled with what we saw. It was delays on investments in infrastructure. But the last quarter, we saw that volumes on this sector improved compared to the previous one. We understand that slightly above of 40% of the budget of the communications and transport ministry were spent in 3 months, from September to November. So that was one of the reasons why things started changing. We have seen, and I suppose other people have seen also, an increased activity in the bidding process for these infrastructure projects. And recently, the communication and transportation ministry has announced that a little bit more than 40% of the 2014 budget for growth[ph] was already in the bidding process. So that's very encouraging. Plus some additional information, you might already have it, that the budget for the communications and transport ministry of 2014 is almost 50% higher than last year. The current pipeline [ph] for instance, for pavings and dams is 40% higher than last year. So all of these are very encouraging signs for the infrastructure sector. And also, as mentioned, for the self-construction sector, there are other positive signs, like remittances, the trend in remittances changing. And so that makes us feel quite confident on the guidance we are providing for 2014 volumes in Mexico.
Yassine Touahri - Exane BNP Paribas, Research Division: And have your competitors followed the price increase that you've announced in January?
Fernando A. González: I think you should ask our competitors.
Operator: Our next question comes from Jacob Steinfeld from JPMorgan.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: A bit of a follow-up to the last question. You had mentioned that you expected formal housing sector in Mexico to decline by single digits next year. But I was just -- you also mentioned that you expected subsidy to double, and that you expected higher growth in the country, higher remittances, and clearly, there was a very low base from the largest homebuilders this year. So I'm just trying to tie those comments together. I don't know if you could provide a little bit more color.
Fernando A. González: Okay. I think, trying to summarize on about -- on infrastructure, I already commented, as you know. We think it's going to grow double digits because of the things that I mentioned before. Informal housing we think is going to be growing again because of the economic activity in Mexico, plus increasing remittances. That's a change in trend late last year and we think is going to continue happening during the year. And in the case of the formal housing, which account for a little bit less than 20% of the volume, we think it's going to decline low-single digits. Last year was very difficult for this sector. It will tend to stabilize during this year, but will drag the result of the 2014 as a result. The sector still needs time to adopt the new rules. The sector did perform better towards the last part of last year, and that trend should continue. Housing starts are in upward trend since about mid last year, and we do see smaller players in this sector, meaning construction companies, developers taking the lead on certain works. But again, this is going to take time, and we think that during '13 -- during 2014, we will be slightly affected by negative volumes in this sector.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: Okay. So the subsidy increases, obviously, won't help.
Fernando A. González: It is helping.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: And then I had another question about the change in the recovery in working capital. You had mentioned, I believe, on the last call, that you thought in the 4Q that you would recover basically most of your working capital in 4Q. Is there a reason why -- I mean recovery was still good in the quarter, but maybe it wasn't as much as you expected.
Fernando A. González: No, I think recovery is reasonable. By the way in 2013, by the end of the year, we established a new working capital record for CEMEX in -- measured in terms of days. Last -- 2012, it was 30 days, and in December 2013, it was 28 days. So we are pleased with the recovery of working capital. In absolute terms is -- investment in working capital is slightly lower than 2012.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: Okay. And the last question I had, in terms of the bonds that are callable this year, it's just you really only have -- from what I understand, EUR 150 million of the euro notes of 2017 and also EUR 130 million of the 9 5/8% in '17. So there's a limited amount of notes that are callable this year. I was wondering what options you're currently considering to lower your interest costs and extend maturities.
Fernando A. González: That's one of our targets, reducing our interest expenses. Right now, what we're doing is monitoring the markets. We have been very pleased with the re-rating of our risk in the previous months. As you know, last year was an active year. And this year, I think trying to summarize the things that we will explore is that we have the convertible due in March '15, and we think it's going to convert. But anyhow, we need to monitor that part. We have the floating rate now that is due in September '15. We need to refinance it. So we will do something, again, depending on market conditions but, let's say, midyear to the end of the year. And then we have the chance to start calling bonds, a small portion midyear, and a larger one, bonds that we can call starting January '15. So if we do something, we will start monitoring markets and options second half or, to be more precise, the last quarter of this year. That's about the plans we have for refinancing for 2014.
Operator: We have time for one last question, and it will come from Aaron Holsberg from Santander.
Aaron Holsberg - Santander, Equity Research: What is your target debt ratio, covenant debt ratio for the end of the year? And do you think this year you might reach it by actual debt reduction, in addition to growing EBITDA, I mean paying down debt rather than replacing it?
Fernando A. González: Debt ratio for the end of the year, given that we are not providing guidance, this is one of those pieces of information that we don't provide as such. And reducing debt, I think, during 2014, most of the deleveraging we're going to have is mainly because of EBITDA growth rather than reducing in significant amounts our balance in debt.
Aaron Holsberg - Santander, Equity Research: So you're not expecting significant free cash flow?
Fernando A. González: No. So again, deleveraging will be mainly or mostly coming from EBITDA growth.
Operator: I would now like to turn the call over to Fernando González for closing remarks.
Fernando A. González: Okay. Well, thank you very much. And in closing, I would like to thank you, all, for your time and attention, and we look forward to your continued participation in CEMEX. Please feel free to contact us directly or visit our website at any time. Thank you, and good day.
Operator: And thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.